Operator: Good day, and welcome to the ADDvantage Technologies Fiscal 2022 First Quarter Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Brett Maas, Hayden IR. Please go ahead.
Brett Maas: Thank you, operator. We are joined today by Joe Hart, President and CEO; as well as Michael Rutledge, the company's Chief Financial Officer. Before we begin today's call, I'd like to remind you this conference call may contain forward-looking statements, which are subject to Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, among other things, statements regarding future events, such as the ability of ADDvantage Technologies and its subsidiaries to maintain strategic relationships and agreements with certain original equipment manufacturers and multiple system operators as well as future financial performance of ADDvantage Technologies. These statements involve a number of risks and uncertainties. Participants are cautioned that these forward-looking statements are early predictions and may materially differ from actual future events or results due to a variety of factors, such as those contained in ADDvantage Technologies' most recent report on Form 10-K on file with the Securities and Exchange Commission. Financial information presented on this conference call should be considered in conjunction with the consolidated financial statements and notes included in the company's press release issued earlier today and included in ADDvantage Technologies' most recent report on Form 10-K. The guidance regarding anticipated future results on this call is based on limited information currently available on ADDvantage Technologies which is subject to change. Although any such guidance and factors influencing it may change, ADDvantage Technologies will not necessarily update the information as the company will only provide guidance at certain points during the year. Such information speaks only as of the date of this call. During this call, we may also present certain non-GAAP financial measures such as non-GAAP net income and certain ratios that are used with these measures, in our press release and in financial tables issued earlier today, which are located on our website at addvantagetechnologies.com. You'll find a reconciliation of these non-GAAP financial measures with the closest GAAP financials and discussion about why we believe these non-GAAP financial measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. I'd now like to turn the call over to Joe Hart, President and Chief Executive Officer of ADDvantage Technologies. Joe, please go ahead.
Joe Hart: Thank you, Brent. And thank you to everyone joining us on the call today. We continued our strong revenue momentum in the first quarter, with significant growth in both our wireless and telco segments, leading to 47% consolidated growth on a year-over-year basis for the quarter. This growth and the accelerating 5G rollout give us significant confidence in continued revenue ramps during the balance of this fiscal year. As we've been saying the 5G rollout has finally begun in earnest, leading to significant activities from multiple customers in several states. And we expect our wireless revenue to continue to grow from the $7 million range in the second fiscal quarter, with further expansion in the second half of the fiscal year. Our focus now turns to improving our operating efficiency and properly aligning our resources for future demand, enabling us to expand gross and operating margins while we deliver exceptional service to our customers. The ramp and resources during the last two quarters and expansion into new markets has adversely affected margins for Q1 and into our Q2 of this fiscal year. Action has been taken to improve margins, and we will be reducing operating and general and administrative expenses to drive margin expansions over the next two quarters. Our entire wireless team is hard at work at managing this rapid acceleration. Working closely with our customers to make sure we have crews in place to deliver on work orders as permits are approved. Investors should expect not just revenue growth, but margin expansion as we move through the year, likely peaking in our fourth fiscal quarter. While wireless revenue related to tower work and other aspects of the 5G rollout has already increased by 36% year-over-year, we expect that it will continue to grow throughout this fiscal year. Our recent growth has been broad based involving several carriers including both long standing customers and new entrants to the market. The work touches all the regions we service, spread across the center of the United States and touching many large metropolitan markets. Our pipeline of new projects, meaning work we have been awarded where we are waiting for purchase orders as permitting is completed, gives us significant confidence that the long awaited 5G surge will continue to accelerate for us in the near term. As I mentioned last quarter, we already have purchase orders in hand for fiscal year 2022 construction that exceed the total value of our fiscal year 2021 total wireless revenue. Over the last few months, we have won site awards to upgrade technology to 5G for over 700 cell sites. And we have increased our staffing to meet this growing demand. In fact, staffing is the most challenging part of this growth in this tight labor market. Currently, we are running at 45 crews, and we'll be ramping up from there in subsequent quarters. The 5G opportunity represents a multi-year secular trend, not just for tower work, but for datacenters, technology providers, handset manufacturers and wireless carriers. Each of the wireless carriers are investing hundreds of millions of dollars in the expansion in the CapEx plans of the carriers are public information and widely discussed. We are fortunate that as this wireless segment quickly expands, we are simultaneously benefiting from other trends that are driving strong results in our telco segment. The office dynamic has changed and people are working from home, requiring an expansion of the telco infrastructure to facilitate a remote workforce. Simultaneously, the well documented chip shortage and supply chain issues have elongated the delivery cycle for new telco equipment, and import price increases have made new equipment more expensive. All of these factors make our refurbished equipment sold by Nave and Triton a more compelling and viable option. You can see the result in the financial performance of our telco segment, which finished its third consecutive quarter over $11 million in revenue with an increase of 54% compared to the quarter of last year. We continue to anticipate a leveling off of demand at some point in future quarters albeit at a somewhat elevated level relative to the recent past. Overall, we delivered a 45% revenue growth in the quarter. Our margins and overall profitability were impacted by the increased spending to ramp up crews and capabilities as we expanded into new markets in advance of the coming demand. But we believe that margins will begin to improve late in the current quarter with further margin expansion as we move through the year, and our business reaches the necessary inflection points where volume is able to offset fixed costs. We also begin reducing G&A and operating expenses as our new markets mature and we enter the second half of the fiscal year. With that, I'll now turn the call over to Michael Rutledge, our CFO to provide a more detailed review of our financial results. Michael, please go ahead.
Michael Rutledge: Thank you, Joe. Consolidated sales increased $6 million or 47% to $18.7 million for the first quarter from $12.7 million for the three months ended December 31, 2020. The increase in sales was due to increases in wireless sales of $1.9 million and telco sales of $4.1 million. Consolidated gross profit increased $1 million to $4.6 million for the quarter compared to $3.6 million for the same period last year. The increase is due to an increase in the telco segment of $1.1 million offset by a wireless segment decrease of $0.1 million. Operating expenses increased $0.5million to $2.5 million for the quarter compared to$ 2 million for the same period last year. The increase reflects the company's investment in its regional growth strategy related to expected 5G infrastructure growth. Selling, general and administrative expenses increased $0.5 million or 15% to $3.7 million for the first quarter from $3.2 million for the same period last year. The increase in SG&A relates primarily to increase selling and commission's expenses to support higher revenues. Net loss for the quarter was $2 million for the first or a loss of $0.16 per diluted share based on 12.7 million shares, compared with a net loss of $2 million, or loss of $0.16 per diluted share based on 12.1 million shares for the same quarter last year. Turning to our balance sheet; cash and cash equivalents were $1.8 million at December 31, compared to $2.6 million as of September 30, 2021. Cash was used primarily to fund operations. As of December 31, 2021, the company had net inventories of $5.7 million. We continue to believe we are sufficiently capitalized with appropriate backstops to support near term business conditions until more normalized business conditions return. This concludes the financial overview segment of our remarks. I will now turn the call over to the operator to facilitate any questions.
Operator:  And we'll go first to William Velmer with S.A. Advisory.
William Velmer : Yes, hello. Thanks for taking my call. Couple of quick questions. Number one, can you give us a real number of backlog? Everything seems very mysterious. What's the real backlog here right now? First question.
Joe Hart: The backlog for wireless is based on, yes, this is Joe. The backlog for wireless is based on the number of purchase orders in hand or sites assign where we're waiting for the purchase order to come through. But I mean, when I said we have 700 sites in backlog. I mean, that's what that refers to right, now, have we burned off some of that backlog? Yes, in the first quarter we burned off $7 million, the 700 sites that I refer to relate to about $28 million in total backlog. And so we burned about $7 million of it in the first quarter. And as we progress through this quarter, next quarter, and so on we'll continue to get additional sites assigned to us by the carriers. So backlogs a bit of a moving target. But the 700 sites that I referred to is typically you take an average revenue per site of about $40,000. And by the way amongst carriers that can vary fairly widely, but it's probably not a bad number to use.
William Velmer : What about the rest of this subsidiary? What's your backlog of the other subsidiaries?
Joe Hart: Well, the telco equipment subsidiaries are essentially similar to retail ordering and bid and ask kind of opportunity. So they don't typically have a backlog there. They're on demand orders that come through Amazon, Shopify et cetera. In the case of Triton Datacom so that's a daily weekly transactional kind of business. The Nave Communications has a little bit more runway of about a week's view of orders that are in process but they're high transactional businesses not really subject to backlog more based on historical run rates.
William Velmer : So we talked about the bottleneck that's the topic of choice these days. How much of your businesses have been affected by backlog bottleneck, can't get the product and if that's the case are you raising their prices? I mean, you've had a good quarter but you keep promising a better, an EBITDA that's positive and an earnings but here we have another quarter we lost another couple of million dollars. You can't keep losing money. When you explain to us that business is growing rapidly and you keep still keep losing money. This is another, this is the third quarter since I've watched you guys and it's just seems to be kicking the can down the road.
Joe Hart: Yes, our telco businesses is making, I mean it's making nice margin and making good EBITDA contribution. The issue is on our wireless construction side, where we have deployed to multiple new geographies and new markets, and have increased our expenses in order to get deployed to those geographies, and have teams in place and logistical support also there in those markets. And that is a ramp that it's one of those you experience says you're better off to overwhelm the front end with resources, and perform well for your customer right out of the gate. And you ensure a much better future by doing that, once you're in place, and deployed and the market sizing shows itself, then you can trim the resources appropriately. And that's what we intend to do, we intend to reduce our G&A and operating expenses on the wireless side of the business over the next couple quarters to get back to consistent levels of profitability and EBITDA contribution. So you are fine with math, you are correct, yes.
William Velmer : So basically, you're getting players. And once you've got the players, and they're happy, they're not going anywhere. And this allows you to give you greater flexibility with increasing margins, would that be a fair assumption?
Joe Hart: Well, in the demand in these new markets, you're -- you don't get hard promises on a level of demand as you deploy to these new markets. But you have a certain amount of purchase orders, which makes the justification for deployment to that area, justified but you're uncertain of the demand as that demand shows itself. You then level the resources and reduce your spend because you're there and you can make good decisions about what the appropriate level of expense to revenue is. And we're in a total growth mode, right, we are essentially doubling or the size of the company, and expenses have led the way to fuel these deployments. Now's the time as we move through the end of this current quarter, now's the time to start recalibrating those expenses, and get it back into a profitable situation.
William Velmer : Well, I listened to you guys before, as I've mentioned, and isn't it time to maybe upgrade that presentation, it's kind of very stale, to give us some vision of the company in writing that people can review, and maybe do a couple of dog and ponies with some brokerage firms out there to get your name. It's kind of been stale for a while. And since you say you're in a growth mode and ramping up, this would be an ideal time to visit the brokerage community because you definitely could use some cash. And I think that should be something to consider. Number one, and number two, a different question is this second quarter, we're still in kind of the winter environment. Does that seem to affect business ramp up in the areas that you are? The majority of your work is conducted?
Joe Hart: Yes, kind of a combination of the latest COVID variant that hits crews, both our internal crews as well as subcontractor crews. That's a bit unpredictable, as well as any winter storms that pass through, like in Texas a week or two ago. We know we were down for a couple days. So far, knock on wood work continues in the Midwest, but there are days or a few days in a row where we're shut down for weather. So we tried to build that into our budgets. We, a lot of us have been doing this for a long time. So you never know when winter will hit. But it's predictable that it will hit in January, February, March in the Midwest.
William Velmer : Correct, and what about the -- go ahead.
Joe Hart: No, it's okay, sorry for interrupting
William Velmer : No, I was curious, what about an upgrade to a presentation and to do some dog and pony shows with some of these brokerage firms out there to get some new eyeballs? Because you do have the tendency you don't put any press out, you don't really let us really know what's going on except for the filings of Qs and Ks. So maybe that should be, should maybe get a little more aggressive on attracting eyeballs?
Joe Hart: Yes, I think that's a great suggestion. And thank you for that. I would, my preference is when we get to breakeven, and we're about to approach profitability, that's when I'd like to be standing out there in front of investors, touting that we have grown the business and we have turned it around and gotten it back to profitability. So that's the game plan. And from a timing perspective your suggestion is most likely something we would prefer to do starting later next quarter.
William Velmer : Well --
Joe Hart: We can get the presentation updating.
William Velmer : Yes, but there is the -- in many cases, there are companies that always are waiting for things to be perfect. And they never are and waiting for both the profitability bell to be run. Maybe you should look at it prior to the bell being rung, you're crowing about your revenue growth, your market size. Businesses are expanding. I really think it's time that really, instead of waiting for profitability, start to tell people about it, since you already expanded on your -- on the revenue growth, the possibilities, the potential, you're increasing the size of your workforce and the crews. I mean, that sounds pretty positive. We're just missing one ingredient. So maybe investors should start to be told now while the stock is basically hovering around the dollar, which is really kind of sad. Just, I mean, it's time to get some eyeballs on this thing. Things aren't perfect, but I think you owe shareholders that route the presentation and acknowledgement that you're out there growing. So that's kind of where I'm at.
Joe Hart: I think Michael and I are sitting here shaking our heads in agreement with you. So we have our commitment to get moving on that front.
William Velmer : Lastly, maybe occasionally put out some kind of press release, and tell us what's going on. I mean, instead of waiting for the quarter to end. I mean, it's three months, we won't be hearing from you most likely for three months. And you don't want to get lost. There's a lot of competition out there for people to buy stocks in companies. And you get lost. I mean, you're in such an exciting area of communication. I mean, we've been waiting for 5G for three years, and it's here and waiting for profitability, I don't think is the answer. I think you need to pound the drum now. So thank you very much for answering my question. Thank you.
Operator: We’ll go next to Kurt Caramanidis with Carl M Henning.
Kurt Caramanidis: Hi, guys, thanks for taking my call. Just try to get a little more color on what you were saying. You probably have mapped out investors are probably wondering, do you see cash flow breakeven or cash flow positive? By mid-year it sounds like based on kind of what you're seeing on a monthly basis. Where do you kind of see that turning in April, May, June, something like that?
Joe Hart: It's not in the current quarter, but it's -- the plan is for it to start turning in that direction hard in the third quarter and be there in fourth quarter. I mean, that's our current projection.
Kurt Caramanidis: Okay, do you see any insider buying coming management team at these levels with your confidence in the business to go forward and all that kind of thing with, where the stock is at any idea on board or management stepping in to show confidence?
Joe Hart: I think it's a great suggestion. We haven't had that discussion amongst ourselves here in the building with a management team, but certainly with a share price where it is. It's unfortunately, it where it is. It's a great time to consider that. So we'll take your suggestion in hand here and see what we come up with.
Operator: We will go next to Edward Culverwell, Private Investor
Unidentified Analyst: Yes. This is Ed Culverwell. I like to get some explanation on these -- of the volume, I can't quite understand how you can possibly have almost 13 million shares traded one day when that's-- it's actually more than the stock outstanding. Can you make a comment on there, there must be some connection to the company people or somebody or institutions? I mean, you've got mutual funds, you've got other groups that are the onus shock. And I can't imagine the whole volume trading in one day.
Joe Hart: Yes. Hi, Ed, this is Joe. It's happened a few times to us over the last two or three years now. Those big days, over the last couple years have been like a $3 million day or a $4 million day. The recent $13 million day was I mean, there's, I don't think there's any real explanation for something you start to get some growth and some activity going and you're trigger some algorithms in some of the investment houses and trading firms and all hell breaks loose. And everybody thinks they know some kind of secret there. There was no logical explanation based around the business trends or business news or anything else on our side that triggered that it was strictly an oddity of the market these days. And there's probably other people on the call that are more advanced in trying to explain that but --
Unidentified Analyst: Well, I’ll be interested in hearing that but yes, but the normally I mean 12 million shares, you see this price go up, I mean, sure, would have gone through the roof.
Brett Maas : This is Brett, it's the advent of algorithmic trading, right? They're just people flipping shares, flipping shares back and forth, very rapidly, the same shares just change hands very rapidly. So unfortunately, that's the world of the trading world that we now live in, right? I mean, there's an audience watching the stock and hopefully we keep longer term shareholders within this volume. The longer term shareholders see their liquidity, and they start to buy shares and accumulate and it settles down a little bit. But the algorithmic trading is what's doing this and results, the positive results of management.
Unidentified Analyst: Is there any self-registrations out there that you would be affected by this? I know you're talking about raising money. When someone takes a look at this, it looks as if they're been raised privately maybe, at that particular time reflected in the 12 million but –
Joe Hart: Yes, we, I mean, we still have an active S3 registration that's about two years old now. That still has about $9.5 million of capacity left in it. We have not been active in it and at current share price probably won't be active in it for a while, but it's still there. We would like to use it at some point, but that's why our total focus is on improving the performance and profitability of the company. And then we believe the share price will take care of itself from there, along with other good suggestions, like update our presentation on the website, issue more press releases, very basic marketing so.
Unidentified Analyst: I certainly say second the idea of going out and telling your story I mean, there's so much publicity out there in 5G in such a positive nature and people aren't even aware of the company. I'm not talking about hustle in the slack, I'm talking about giving people the opportunity to see what the book potential is. You don't have to wait it looks rather move people would like to get other lower level when you are profitable, and things have turned so mean they do. It will be reflected and then people will be trying to buy the stock. And as there’s a really a very small float in the last time when they got a short position, they had the shorts of stock ran to $6. Is there -- this isn't going to happen all of a sudden when you show one quarter profitability, then everybody's going to try to get through the door, hopefully.
Joe Hart: Agree. Thank you, Ed.
Operator: We will go next to George Gasper, Private Investor.
Unidentified Analyst: Yes. Good morning, everyone. I like to dig into this 5G saw that took place and this issue regarding aircraft problems close to airports and landing. And can you describe what it's been like for your crews? That in and around these particular airports, nationally or in the areas, obviously, that you're working? Were you required to get back up on towers to do some work? When the airlines were insisting on having the communications temporarily closed off or is that, can that all be done from the ground level? And it doesn't require any of your work? Can you explain that?
Joe Hart: I can explain what I know and think is going on. But we have not directly been involved with either installing radios within the glide path to and from the any airports this year. It's specifically in the C-Band block of spectrum that was auctioned off a little more than a year ago by the FCC. It affects the altimeters of some aircraft types, not all. And really it's, as I read, it's a matter of AT&T and Verizon on those towers that they have installed new radios related to the C-Band spectrum. They hadn't actually turned any event on they were about to and so they were asked to hold by the FAA. They all agreed. And then since then they've agreed to either redeploy that spectrum outside the glide paths. I think it's simply a matter of giving the aircraft manufacturing industry a chance to replace and upgrade the technology on the aircraft altimeters. And once they get all that done over the next couple years, it won't be an issue. But for the meantime, it is on some aircraft so it hasn't affected our business whatsoever. And both AT&T and Verizon have the ability to turn those radios on and off in that spectrum. Or to not actually engage those radios but I mean both companies continue to deploy that new technology all over the US. And they're just trying to adjust it in the glide path.
Unidentified Analyst: Okay, all right. Thank you for that question and answer. Okay. The next one is on the crew development. You indicated that you're at 45 crew level. Now, how do -- can you tell us how many are in-house crews and outside and inside crews of the 45? And can you give us a comparison of how that has developed? Let's say since the close of the last fiscal year was September? And where's your -- what's your upside target in total crews and in-house crews?
Joe Hart: Yes, I guess I would say I have no real upside target, or I'll say maximum threshold George, if the business continues to double year-over-year this year, and next year in the year after, then we'll be expanding the crew count accordingly, both geographically, as far as following the work with carriers or improving the density within existing geographies. So I don't have any limit in my head, or in our budget plans, as far as total crew count, we match the crew count to match the backlog, right? And there are weeks where seconds are up and down a little bit where either we hit weather delays, or we might hit some permitting delays, and then everything gets completely turned back on in a small geographic area I'm talking about. So we're at 45, we were probably running in the mid-30s on the last quarterly call. I say probably but I mean, I know it because we track it on a daily basis. As far as ratio of internal crews to subcontractor crews, we're probably sitting at the moment at about three to one subcontractor crews to in-house crews. I have for decades believed in the strategy of having a bigger subcontractor base of technicians and crews then you're in house. And that becomes your insurance policy and buffer against the ebbs and flows of the work. So we're very happy with where we're at. It is a very tight labor market. We're constantly recruiting and it's quite the Wild West out there as far as recruiting and retaining valuable crew resources. So we work that every day every week. It’s a full time job. So we're kind of happy with where we're at right now with crew count.
Unidentified Analyst: Okay, that's interesting. And the actual work that you do daily or weekly, can you give us a percentage of how much is on towers? And how much is off, away from towers? Is there any way of giving us some indication of what the revenue stream is versus your total?
Joe Hart: Well, I would describe it as it's all on the cell site. So it's within the fence line of an existing cell site. And for example, in the case of the new dish installations. It's about 40% civil work, which is on the ground. So it's trenching for conduit for fiber optic cables and power cables. To bring it over to the radio cabinets we have -- we build platforms, so we can mount their radio cabinets above ground, a couple feet off the ground. And so that civil work is probably about 40% of the scope of work and on tower work is probably 60% and that can vary from site to site, carrier to carrier.
Unidentified Analyst: Okay, and can you describe the outline of your activity in total on a state by state basis? Is the Midwest area is still from Chicago or Milwaukee on the top to Southern Illinois and Michigan over to Minnesota and Nebraska and obviously, Texas, I'm sure is important. Can you just give us a little color on how you have been and where you're trying to go?
Joe Hart: Yes, it's varies from year to year, depending upon the carriers deployments for the new technologies. And the markets that they built the prior year and are changing the following year. So it migrates, but this year, we're probably back to about 35% Midwest and about 65% southwest.
Unidentified Analyst: 65% Midwest and 35% outside is that which you are saying.
Joe Hart: No, it's the opposite. It's about 35% Midwest, about 65% southwest, yes. And we believe that later in the year, and next year, that will shift that there's some big plans taken shape for the Great Lakes area. So we'll -- that will probably shift somewhat.
Unidentified Analyst: Okay. All right. Good. And then a question on the increase in shares outstanding in the quarter, I believe it was like, 400,000. Am I correct on that?
Joe Hart: It was about 600,000, yes.
Unidentified Analyst: 600,000. Okay, how many of those shares were distributed to employees? And were they at a certain price?
Michael Rutledge: The majority of those shares were actually purchased through the S3 during the quarter at various points during the quarter.
Joe Hart: Yes, I mean, quite honestly, that day where the volume went off the charts to 13 million. We tagged along on the back end of that day, and sold some shares, just because of the sheer volume of activity. And our employees are basically on three years at a time, so they get restricted shares of stock based on performance on an annual basis, and that vest over three years for any particular offering. So it's not a large number of shares in totality but in any given year, probably an extra maybe 150,000 shares something like that.
Unidentified Analyst: I see. Okay. That's encouraging. And one question and talking about telco and that whole segment, which has done very well, I mean, it's, you don't hear too many people congratulating you all and the work that went through and building your new equipment, warehousing and operation in Florida and outside North Miami, and how that's all going. And, of course, as you have indicated today, that a lot of this activity that you've experienced in recent quarters, it relates to people working remotely and in the lack of new equipment availability. Do you have any thoughts about expanding that operation geographically or in terms of equipment, distribution, expansion? Any thoughts on this?
Michael Rutledge: It's, I mean, we think about and talk about it all the time. For sure, every quarter, we're reviewing the existing inventories every quarter. It's a bit of a tricky business, as far as your inventory that you have on hand is constantly aging. So we're trying to play off selling down existing inventory, while we're finding products that we can sell on a flip basis where we don't have to refine the inventory, we buy it, and then we sell it, and comes in the left hand goes out the right hands kind of thing. I think we believe that we're in a bit of a temporary situation considering the global chip shortage and the global supply chain, log jam, we think that will eventually right itself. Our team has done just a fabulous job here in the last 18 months. And we have seen expanded sales to new clients and new fiber, competitive access carriers. So I think it's more about expanding our sales channels, not necessarily the product lines. We want to stick with what we're really good at. And we think that the market situation is a bit tenuous. So we're, I think, a little cautious about investing a lot in new product or new product inventories right at the moment. And frankly, you see, you frankly, see our cash situation. So it's not like we've got a stockpile of cash that we can go off and divert into a lot of new inventory.
Unidentified Analyst: Okay, and you mentioned a cash position. My last question, could you identify, again, the amount of money that is coming into the company on the basis of the sale of the division to Dave Chymiak that took place like a couple years ago? Is that -- does that come in quarterly? And how much does it amount to on an annual basis at this point?
Joe Hart: Dave had a five year note, which was all public information. Dave had a five year note and Dave paid that note off in full probably about a year ago or so. So okay, there's no incoming monies from that former sale of Tulsat.
Unidentified Analyst: So there isn't anything coming in at this point from that sale?
Joe Hart: No.
Unidentified Analyst’: Okay. All right. Okay, thank you. Finally, for all your answers. Appreciate it. It could be very interesting over the next three to six months to see this path. And based on what we did in the last quarter of $17 million range and before that $68 million, I would assume that you can drive this up to $85 million to $100 million in a year from now. Any comment on that?
Joe Hart: Well, certainly manageable growth, growth that we'll take all the growth we can get as long as it fits the strategy of the company and in the geographies we can serve, and we can make money, right.
Unidentified Analyst: Okay. Best of luck to you going forward here. We're all rooting for a real success. Take care.
Operator: We will go next to Anthony Marty's, Private Investor.
Unidentified Analyst: Hi, good morning. Your sales for the quarter are greater than the entire market cap at this point. So clearly people are disappointed in what's been going on. You speak very eloquently and glowingly about the future of the company. I'd like to make a suggestion that is to see some insider buying, we haven't seen anything, since I believe, in 2020, at significantly higher prices by one or two individuals. I see zero insider buying by any other directors. So, on one hand, a lot of confidence, on the other hand, I think, to really show a vote of confidence, it would be nice to be able to see some insider buying. And again, I'm not trying to count people's money, but certainly, to see zero insider buying, given all the opportunities, all the success that you forecast, I think that would be the best way to convince people that the turnaround is for real.
Joe Hart: Yes, I think it's a great suggestion, and it's timely as well. I would use a bit of a weak excuse and just say, we've had our heads down trying to manage our way through all this growth and turn the company back to profitability. We've kind of lost sight of that. And I appreciate both yourself and the previous investor that asked the same question for reminding us of the signal that it sends to the marketplace. So I appreciate the suggestion.
Unidentified Analyst: Yes, it's going to make it a lot easier for Brett and his team, to market the company, when they're able to introduce the company as a company that is, a, cheap on an asset basis, sales basis, whatever you want to call it, and at the same time be able to say, hey, not only is it cheap, but insiders, of showing their confidence by buying the stock at current level, sort of ironic, the stock trading at a 52 week low and yet your sales are just getting to what looks like ramp up significantly. So in any case, it just going to make it a lot easier to market the company as you go forward with some insider buying as evidence of confidence of management.
Joe Hart: Yes. Thank you for the reminder, we appreciate it. And at this time, there are no further questions.
Joe Hart: All right. Well, thank you, everybody, for joining us on the call today. We appreciate your support, we appreciate your interest. We are clearly focused on returning this company to profitability. We've been deep in the effort of trying to grow the business and both the telco and the wireless side have shown nice growth two quarters in a row on the telco side. It's been three quarters in a row. And now's the time to get this company back to a profitable situation. And so that's our mission here over the next two quarters is to get us back in that position in a solid fashion and set the stage for fiscal 2023 already. So thank you again for your time and your interest. Thank you, operator.
Operator: Thank you. This does conclude today's conference. We thank you for your participation.